Operator: Good day, ladies and gentlemen and welcome to today’s Streamline Health First Quarter 2016 Financial Performance Conference Call. Today’s conference is being recorded. And at this time, I would like to turn the conference over to Mr. Randy Salisbury, Chief Marketing Officer. Please go ahead, sir.
Randy Salisbury: Thank you for joining us to review the financial results of Streamline Health Solutions for the first quarter of fiscal year 2016, which ended April 30, 2016. As the conference call operator indicated, my name is Randy Salisbury, as Senior Vice President and Chief Marketing Officer here at Streamline Health, that manage all communications, including Investor Relations. Joining me on the call today are David Sides, our President and Chief Executive Officer and Nick Meeks, our Senior Vice President and Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for question-and-answer session. If anyone participating on today’s call does not have a full text copy of the release, you can retrieve it from the company’s website at streamlinehealth.net or at numerous financial websites. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of Streamline Health Solutions during the course of this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those reflected in the forward-looking statements included herein. Please refer to the company’s press releases and filings made with U.S. Securities and Exchange Commission, including our most recent Form 10-K reports for the information about these risks, uncertainties and assumptions and other factors. Participants on this call are cautioned not to place undue reliance on these forward-looking statements that reflect management analysis only as the date hereof. The company undertakes no obligation to publicly revise these forward-looking statements. On this call, the company will discuss non-GAAP financial measures such as adjusted EBITDA. Please refer to our website at streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. These non-GAAP measures do not include certain items of income and expense that affect operations and other companies may calculate these non-GAAP measures differently. With that said, let me turn the call over to David Sides, President and Chief Executive Officer. David?
David Sides: Thank you, Randy and good afternoon everyone. Today, I want to comment on our first quarter performance by framing against where we were 1 year ago and where I believe we will be 1 year from now. As released earlier today, for the first quarter of fiscal 2016, we generated revenues of approximately $6.7 million, an 8% increase for the same quarter a year ago and nearly 5% ahead of last quarter. Recurring revenues were 86% of total revenue for the first quarter. Professional services revenues for the first quarter was the best in my tenure today at $691,000, up from $351,000 in Q1 of 2015 and 19% over Q4. Turning our attention now to adjusted EBITDA, we generated approximately $600,000 in the first quarter of this year, a dramatic improvement over the negative $1.3 million in Q1 of 2015 and up approximately 20% over Q4. In GAAP terms, our net loss for the first quarter was $1.5 million. As stated on this call 1 year ago after just a few months from the role of CEO that I believe Q1 of 2015 financial results would represent the lowest point in our company’s go forward path to improved performance. Looking back over the previous four quarters, Q2 2015 through Q1 2016, you will note that the numbers support our early prediction. Our quarterly revenue, while not where we want it yet, has remained above the $6.2 million mark of Q1 2015. Our adjusted EBITDA has clearly exceeded our own expectations and remains on a positive track. As importantly, our ratio of cash to debt has improved dramatically over the same period of time. A year ago, we had $10 million in debt and just $5.3 million in cash. At the end of Q1, our bank debt has been reduced to $8.1 million and our cash on hand is $6.5 million. Due to certain stipulations in our credit agreement with Wells Fargo and our continuing strong bottom line performance, we actually paid down more debt over the last four quarters than we originally intended. I have asked Nick Meeks to comment on this subject in his remarks later in the call. It was stated last quarter, we believe that as a company, we are on a much stronger financial footing. Our biggest area of opportunity remains sales and more specifically, our quarterly bookings performance. We have already exceeded our first quarter 2016 bookings of $500,000 just 5 weeks into our second quarter and our active pipeline to close deals over the remaining 7 weeks of this quarter is substantial. I believe we are making progress in our sales efforts and here is why. First, our increased investment in sales and marketing in the area of lead generation is having a positive effect on the number of solution demonstrations we have conducted over the previous two quarters beginning Q4 of 2015 and Q1 of this year. We have seen a substantial increase in demos of our CDI coding and computer-assisted coding solutions and meaningful increase in demos for our financial management solutions as compared to our demo activities in quarters two and three of last year. This increase in activities stems from a number of sources. Our RVPs of Sales is working in their respective territories, our investment in additional lead generation resources, we scheduled meetings with C-level executives that are pre-qualified as being interested in our solutions as well as from our investment in inside sales personnel. Inside sales function has proven to be so effective that we are hiring two more people in this role. Second, we reorganized the sales team under the leadership of Shaun Priest, our new Senior Vice President and Chief Growth Officer. After being on board for just 60 days, we are appreciating the energy, effort and focus that he brings to this important role. We are focusing our sales around our company’s strengths, primarily in the area of revenue cycle management and analytics. Given the broad transition that is taking place in U.S. healthcare industry today, the fact that our Looking Glass platform delivers enterprise solutions for revenue cycle optimization is we believe the right message for CFOs, directors of revenue cycle management and HIM directors throughout the country in Canada. The primary buyers of our solutions all understand the need to deliver higher quality care for their patients as the best means to generating greater revenue. Our integrated solutions and analytics enable healthcare providers to drive quality in this new value-based world. Beyond this, our salespeople will focus their efforts on our ECM and patient scheduling solution. Third, the activity we are seeing in our partnership channel both in terms of prospective new clients through existing reseller partners as well as through the number and quality of strategic conversations we are having with high profile, prospective new channel partners has convinced us that there is great opportunity for future bookings and revenue growth here. So much so that we are looking to add additional resources in Hal Walsh’s team. I mentioned Hal in our last earnings call is an important addition to our selling efforts in the newly created position of Vice President of our channel partners. We also mentioned last quarter during the Q&A session that we are working on another reseller agreement with a large healthcare IT supplier that would be a really good channel partner for us. We believe that we would be able to publicize the agreement in a month or so. Suffice to say, we are still working on this channel partner arrangement and believe we are very close to finalizing the legal documents. Fourth, we have invested substantially in solution development and have brought on board two new seasoned solution directors and a new account executive to help us better leverage the potential that we believe exists to grow with our current clients. To-date, we are in conversations to expand our relationship with approximately a half dozen current clients by either adding additional solutions or enabling more of their facilities with the Looking Glass solution they are already using. Fifth, all of the sales channels I have spoken about over the past year are starting to generate solid pipeline activity in the same quarter. By way of background, I have used the analogy of a wedding cake to visualize how I see the four layers of our total sales efforts. The relationship with current clients and opportunities for growth are the responsibility of our account executives, which is the first layer of sales. The addition of the new account executive I just mentioned brings to four the number of account executive we have, one for each of our solution suites. Prospective new client deals are the purview of our Regional Vice President of Sales in five geographic territories. This is the second layer of sales. Unlike in the past when our RVPs were tasked with growing current client revenue and also to seek out new client opportunities, this year and going forward, our RVP is focused solely on securing new clients. With this new focus, we are seeing more potential new client relationships in the pipeline. Our plan is to publicly announce these new client agreements as they close as we gain client approval to do so. It has been our experience that some clients will not endorse the supplier or approve the publishing of a press release, but certainly when we can announce new clients, we will. The third layer of our sales efforts is comprised of our reseller partners. As mentioned earlier, over the past six months, we conducted substantially more solution demonstrations of potential new clients than we did in the previous six months and many of these demos are for or on behalf of one of our reseller partners. Our experience is that solid solution demonstrations are the first step in signing new clients and we fully expect our solution demonstration activity to continue to increase in support of our many reseller partners. The top layer of the sales structure or wedding cake is our strategic partner channel. Strategic partners include companies like Optum360 and NantHealth. As an aside, certainly want to congratulate NantHealth for the successful IPO last week. Certainly, NantHealth is pursuing two large sized new client opportunities that would include our Looking Glass clinical analytics solution. And our relationship with Optum360 remains very strong and we believe that we will continue to sign one new booking with an Optum360 client every year at a minimum. As I stated last quarter, we are confident that we will see a solid lift in our bookings performance going forward, but especially in the second half of this year, as the investments we are making in sales and marketing take hold. I will now turn the call over to Nick Meeks, our CFO for additional insight into our first quarter performance. Nick?
Nick Meeks: Thanks, David, and good afternoon everyone. I will begin this quarter by again thanking both my own team and the RSM engagement team for a second smooth quarter of working together. The ease with which we have collectively been able to effect this change has been quite gratifying. Shifting now to the results for the fiscal first quarter of 2016, David has already covered revenue and adjusted EBITDA. I would add to his comments that there were no material adjustments made to EBITDA beyond stock-based compensation expense. From an income statement perspective, I will highlight that expenses in the areas of services, SaaS and SG&A were all materially below the same period last year. Through a combination of increased revenue and markedly lower expense, I would also point out that the professional services organization generated positive gross margin for the first time in several years. For the full 2015 fiscal year, management had suspended the capitalization of software development efforts. This decision was primarily grounded in management’s concern that the processes and systems in place to establish and document technical feasibility did not provide an appropriate level of surety. After a year of standardization and integration of the development resources from the various acquisitions, I am pleased to note that management does now possess the confidence to resume capitalizing our software development expense. This is a decision in keeping with both the long-term historical practices of Streamline Health as well as our broader industry peer group. On the balance sheet, we ended the quarter with a decrease of $3.4 million of cash from Q4 of last fiscal year. That decrease decomposes to $503,000 in cash profitability, netted against a $2.9 million deployment of cash through net working capital changes as well as $0.5 million of capital expenditures and a $400,000 use of cash in paying down our senior term loan and capital lease balances. While I would always prefer to show cash building ever quarter, currently there is a pronounced cyclicality to Streamline’s cash cycle. Roughly 50% of our revenue is invoiced through clients annually in advance. Of that half of revenue, roughly half again is invoiced entirely in Q4. As we have worked as a team to tighten our cash management cycle, both in terms of invoicing timeliness and collection, it has only served to exaggerate that cyclicality. In essence, while the management recognition stream is materially constant quarter-to-quarter, absent any new perpetual license sales, the associated cash is substantially over-weighted to Q4 and underweighted to Q1. When historical DSO measures were extended, it served to partially negate this concentration impact, but with improved collection times, the disparity becomes more apparent. While we also used cash in the same period last year, I would point out that we experienced a roughly $840,000 cash profitability loss in Q1 of last year. And while the deployment of working capital was less than this year’s fiscal first quarter, it was primarily the result of less effective collection performance in prior quarters. I am confident that the full fiscal year 2016 will reflect meaningful cash generated from operations. To exacerbate the low level of inbound cash in Q1, it is also a quarter with a concentration of cash outflows related to annual events such as the audit and prepayment of corporate insurance. On net, as we continue to sell more monthly subscriptions relative to maintenance agreements, this volatility in cash flow will diminish. Lastly and as David previously mentioned, I wanted to note the material subsequent event in early May. There is an excess cash flow suite provision in our credit agreement with Wells Fargo. It calls for a mandatory prepayment based on a function of our total leverage ratio and adjusted cash generation for the year. Given the incredibly strong cash generation we delivered during fiscal year 2015, the prepayment to Wells Fargo made at the beginning of Q2 was approximately $1.7 million. The future impact of this prepayment will be a reduction in our leverage ratio, which both reduces our interest rate paid and reduces the likely magnitude of future mandatory cash suites. With this prepayment, our level of debt at Wells Fargo is now down to $6.6 million. That concludes my prepared remarks. I will now turn the call back over to David Sides. David?
David Sides: Thank you, Nick. In my prepared remarks last quarter, I discussed the three strategic objectives we established for our company for fiscal year 2016. First is to be more client-centric. I mentioned earlier the changes we made in our sales approach, moving RVPs to focus solely on new clients and empowering our account executives to own our client relationships. Equally important in my opinion is the investment we have made in solutions development, bringing on new seasoned talent that lead innovation in each of our solution suites. Innovation is the third strategic objective up for this year and these two go hand-in-hand in my opinion. With improved client centric performance and commitment and continuing innovation in our solution offerings, we will be in a better position to communicate the many benefits and return on investment we delivered to our existing clients. This more client centric approach has led to more active conversations with a handful of key accounts about expanding our role with them. I believe we can grow this funnel of opportunities going forward. Our second strategic objective is sales growth. Nick has covered how we plan to generate more organic revenue growth from my earlier comments. I think it’s important to mention that we can also grow revenue via smart acquisitions that augment our solutions and current client mix. As I mentioned in our last earnings call, with the material improvement in our balance sheet, we are in position to once again, consider potential acquisitions. We continued to look at all appropriate opportunities either incremental technologies or services and believe we can add accretive tuck-in acquisitions during the course of this fiscal year that would add materially to our revenue picture. We will of course, provide all the necessary information on any deal should we close one this year. Regarding guidance for fiscal year 2016, there is no change to our estimates at this time, as we continue to anticipate generating at least $29 million in revenue and at least $3.6 million in adjusted EBITDA. That said, as the programs we have detailed in recent earnings calls in traction, we anticipate being able to raise guidance and we will certainly do so in a prudent manner. That concludes my prepared remarks. But before turning the call over to the operator, I want to thank our Streamline Health Associates for their continued hard work and dedication to our clients, to our shareholders and to each other. I am convinced we are on the right path and are about to accelerate our financial performance in a manner and at a pace that will make us all proud. I am excited about our growing team of professionals dedicated to providing enterprise solutions and revenue cycle optimization. I will now turn the call over to the operator for our Q&A session. Operator?
Operator: Thank you, sir. [Operator Instructions] And first from Craig-Hallum Capital Group, we have Matt Hewitt.
Matt Hewitt: Good afternoon gentlemen. Thank you for taking our question.
David Sides: Hi Matt.
Matt Hewitt: I have got a handful of questions here. First, you mentioned that the bookings have already improved here in Q2 versus Q1 and that the pipeline looks good for the remainder of the quarter, how should – I mean how should we be thinking about what the growth will look like sequentially, is that, should we be anticipating something like a double or are there opportunities to maybe even provide greater bookings growth here in Q2? Thanks.
David Sides: Hi Matt, this is David. I think we will do at least a double, probably more. It depends on the mix obviously of what comes in, but it will at least be in the millions.
Matt Hewitt: Okay. And secondly, regarding the partnership, it sounds like you are being held up maybe by the legal documents, but could you provide – you have talked about it being a large healthcare IT vendor. How should we be thinking about that opportunity? Will it be something similar to an Optum where you might see, one, maybe two deals a year that could be substantial in size or is this something where you would be selling into their installed base and maybe the opportunities are greater as far as numbers are concerned, but from a financial – from a revenue perspective, maybe they are a little bit smaller? I am just trying to quantify what this partnership could look like.
David Sides: I think it will be more into their clear client base. So, the one example they have some clients, who have a legacy application that we would be helping them move forward to our application. And they also have their own client base who needs a solution. So – and obviously, new deals, we could be pulled along. But I think it will be from, call it, two to four deals per year of health systems or single hospitals, so smaller deals than the larger entire outsourcing of some of our strategic partners, but meaningful deals. It could be at least our average size of $350,000 to $0.5 million booking from each. So, the good news there is too, there actually is pent-up demand within that base, because we have been talking about for sometime and we have demos scheduled without that client base as well. So, it’s one that we anticipate and we are going to put resource to help along move along that could go quickly from signature to demo to signature with the other – with actually their client base. I would expect something by the end of the year from that agreement.
Matt Hewitt: Okay, great. And then shifting gears to your installed base as it sits right now and forgive me, I can’t recall if we touched on this last quarter. But I know one of your Midwest health system customers recently acquired another facility. Where does that sit? I mean, I would assume that they would be adopting the Streamline platform as well at some point. Is that something we could see here in the second quarter or might it take a little bit longer to get that deal closed?
David Sides: That’s something we could see in the second quarter. Surely, every time our clients grow, we are excited for the opportunity to grow with them. Clients that have been with us for a long time, most of our clients have been with us, 10 or 11 years. It’s easier to rollout to another facility. They actually often can do it themselves with the additional license fee or maintenance revenue. So, there are some good opportunities there in each of the next three quarters, actually.
Matt Hewitt: Okay, great. And then one last one from me and this one I think is for Nick probably. You mentioned that the debt you had that suite provision with Wells that kicked in here already in the second quarter and that your debt position will be down at the end of the quarter. Where does your cash sit at the moment given that, that debt pay down?
Nick Meeks: Yes, I mean, certainly, cash was always in flux state today, Matt, but we are materially close to parity with that right now and I think that will hold true through the quarter.
Matt Hewitt: Great, thanks. And congratulations on the progress you guys are making.
Nick Meeks: Thanks, Matt.
Operator: [Operator Instructions] Next we have Frank Sparacino with First Analysis.
Frank Sparacino: Hi, guys. Just want to go back to some of the earlier comments on the product – the areas of product strength. It’s been a while I think since we have talked about revenue cycle on the financial management product suite. And just wanted to get some color there in terms of what’s driving that renewed demand both kind of internally what you have done from the sales and maybe product perspective and then also externally just things you see in the marketplace?
David Sides: Yes, Frank, this is David. The financial management has been resurgent for us. So last year, we spent the first half of the year working on the stability of the application shoring up our existing client base and that’s in a positive way kept clients with us. So, we have seen less attrition there. And we added new functionality where you can look across a health organization from inpatient to outpatient and kind of have this corporate role up to you of where is my best opportunity to reduce denials [ph] or improve my accounts receivable now that I own so many physicians, it maybe in a physician practice or a physician group that I own now, not just a department in the hospital and we can look across both. That’s gotten some traction in the market as well as talking with channel partners we have seen our renewed interest there in the revenue cycle as people look forward and our tools are more relevant there with this new functionality than they have been in the past and it’s a resurgent space for us. On the coding side, we were to see this which is the clinical documentation improvement specialist conference last week in Atlanta in our hometown and we are very encouraged with the relevancy of our coding offerings, especially CDI for that conference. It was a dynamic market. We liked our position that we are buyers at that market. And so some of the initiatives we worked on for functionality there to also cover outpatient, which we see as a trend, as hospitals purchase more physician groups and have a larger piece of their operating revenue come from outpatient. They are looking at things like the same clinical documentation improvement process on inpatient, on outpatient. And so from that trend, I think we see encouragement in both of those solutions.
Frank Sparacino: Good. Thank you, David. And Nick, maybe just on the cash flow side of things, so when you talk about meaningful cash flow generation this year, could you be more specific? I assume we are obviously not going to see anywhere near the strength we saw last year in terms of nearly $6 million?
Nick Meeks: So certainly, last year, we were able to capture a nice improvement in working capital, but you can’t go back to that well continuously. That said I would think that overall cash flow should align pretty closely to our adjusted EBITDA guidance at about $3 million for the year.
Frank Sparacino: Good. Thank you, Nick. I will get back in the queue. Thanks.
David Sides: Yes. Thanks, Frank.
Operator: [Operator Instructions] It looks like we have no additional questions, if you would like to go back to Frank Sparacino for a follow-up.
David Sides: Sure. Frank, you want to ask another?
Frank Sparacino: Sure. Can you hear me?
David Sides: Yes.
Frank Sparacino: So, on the professional services side of things, just maybe talk about what you think that trend line looks like this year? And then also, I know in the past, Nick you have given a figure in terms of some unrecognized work. I don’t recall you talking about that figure, but maybe just a comment on those two things?
Nick Meeks: Sure, Frank. So, when we do implementation services for subscription-related agreements, we defer those implementation services over the life of that agreement rather than recognize them as the services are delivered. Obviously, as we continue to do that through time, it becomes a building number. Now, we have had some SaaS client around long enough that we are also seeing some fully exit or fully amortized. But right now, it’s in the neighborhood of $200,000 or so a quarter, which is a nice number. The rest of it is I think a positive trend line for the year. This – will it be quite as high as this, there were some milestone payments that came in, in this quarter, but I think this is a neighborhood that we expect to live in and I think the positive contribution from that department should carry forward through the year.
Frank Sparacino: Okay. And maybe lastly, David, probably best for you. Just I will be curious to get your feedback on – it seems from a lot of different viewpoints and vendors that selling into hospitals is always challenging, but maybe even more challenging in the current environment that we are in. I would just be curious to sort of get your perspective on the mindset of the conversations that you have had?
David Sides: Yes. I think it’s always challenging, because of the sales cycle and the sizes the organizations are usually large, so there is a lot of consensus to be built and more approval – approval process is there than maybe in smaller organizations are more nimble technology organizations if you are selling to them. Our approach is really to focus on the revenue return on investment. So, where we can deliver return on investment or show clients and case studies to other clients, they implement our technology and here was the outcome. It’s even more relevant in a time of reduced margins than before. So, we are not trying to sell as much of cash savings, which is difficult in any environment. And needed for the revenue increase or keeping the revenue at a high integrity level, so that you don’t have any large amount of denials or revenue that you are missing. So we are really approaching it from a return on investment perspective and I have really updated all of our sales decks around that to try to be relevant to clients and get through all of the messages that they see from others so that they will say okay. There is a lot of people come and ask me, but this one actually looks reasonable and one that will help me, I will get a good return and so that’s really our sales strategy in approaching that market.
Frank Sparacino: Great. Thank you, guys.
David Sides: Thanks Frank.
Nick Meeks: Thanks Frank.
Operator: Alright. And next we have – our next question comes from Steven Lobo [ph].
Unidentified Analyst: I would like to congratulate you and all of you hard work that you have put in over the last year, but then disappointed with the stock price well – where it is right now and I look at the revenue numbers and again another quarter with $6 million, it seems like you guys are struggling of having it difficult to break the what I call the sound barrier of $29 million or $30 million annual revenues, I would like to know, why that despite having quality product company, Looking Glass is highly [indiscernible] at the BlackBook review despite all the positive talk – assets that you have put over the last year, the revenues suggest you guys look up here to be struggling, could you explain what’s the reason for that?
David Sides: I mean at a high level we are not getting the sales traction that we would like to see from the product strength. And so you are seeing that not turn into revenue as much as you like. And if you go back to 2014, we had more attrition of clients that we had to sell just to say even. So this year on a high level, we not had as much attrition it’s much more reasonable in our historic norms of 4% to 6%. And so as we sell from here, I think you will see a good acceleration of growth both on the revenue side and the EBITDA side, because there is not a lot of incremental cost to get the revenue or deliver that revenue. So from the go forward, I think you will see, as we sell more, we will raise guidance on the revenue side and EBITDA will raise by a proportionate amount.
Unidentified Analyst: And again, in case the customer count is down the road, maybe now three quarters down the road, despite all the efforts that you have put in, increasing sales team, if the revenue stream doesn’t grow, would you be open to be acquired, would there – at least consider because I have seen in many cases in the past I mean based on my experience, small companies they just struggled, they have struggled to get the revenue beyond certain level, for me it books the $30 million is like the sound barrier, it’s like the marked number and you guys are struggling. And in case of fail to get the right growth over the next few quarters, say three, four quarters, would you be open to being acquired, at least would you consider the Board would consider an acquisition of the company because if you look at the stock price, the stock price is $8 many years not several years ago, just 2 years, 2 years ago it was actually $8 or so and is consistently falling and now it’s like $1, very disappointed for the long-term shareholders. I congratulate you for the effort that you are putting and your team David and I really appreciate that it was amazing to see you and the team buy so many shares back in January, that was very nice and it gives me confidence that the company can execute well in the coming quarters? But yes.
David Sides: So to answer your first piece, I think we will see growth here in the next three quarters. So the main way to get shareholders growth is growing the company, growing EBITDA, right. So I feel like we have a lot of runway there, Steven. And like I said in my comments, I think we will all be happy with the growth when we are a year from now on the same call. On the acquisition piece, we are publicly traded so it’s – I say some times kind of certainly but we are for sale everyday on the public market, right. We are not totally in control of our acquisition discussions, but obviously the Board has a fiduciary responsibility to consider those – if those occur. And so we would – we have I think a strong, well functioning Board. But I think the Board and I think that there is more runway to being independent and growing and executing our sales plan to create shareholder value then to look at other alternatives. Now, of course if those come up, we consider them, because obviously like you said we are large shareholders, each and everyone of us and we think about it a lot. So we are totally committed to how do we create good shareholder value here. And we think the best way is sales execution as well as being client centric working with our clients closely. And if you get your clients, they will be good to you and things will work out.
Unidentified Analyst: That’s why [indiscernible], because if you look at the stock the market cap is traded, it’s $24 million, the one-time recurring revenues for a stock of the company that’s really pathetic, so I am very pleased to hear what you said.
David Sides: Thanks.
Operator: [Operator Instructions] Alright. It looks like we have nothing further from the audience at this time. I would like to turn the floor back to Randy Salisbury for any additional remarks.
Randy Salisbury: Great, well, thank you. Thanks again for your interest in and support of Streamline Health. If you have any additional questions or need more information, please don’t hesitate to contact me at randy.salisbury@streamlinehealth.net. We look forward to speaking with you all again in September when we will discuss our second quarter 2016 financial performance. Good day.
Operator: Once again, ladies and gentlemen, that does conclude today’s conference. Thanks for your participation.